Operator: Greetings. Welcome to the Cengage Group's Fourth Quarter and Full-Year 2024 Year-End Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note this conference is being recorded. I'll now turn the conference over to your host, Richard Veith, Treasurer at Cengage. You may begin.
Richard Veith: Good morning, and welcome to Cengage Group's fiscal 2024 fourth quarter and full-year investor update. Joining me on the call are Michael Hansen, Chief Executive Officer; and Bob Munro, Chief Financial Officer. A copy of the slide presentation for today's call has been posted to the Company's website at cengagegroup.com/investors. The following discussion contains forward-looking statements within the safe harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Such forward-looking statements can be identified by words such as believe, expect, may, will, estimate, likely and similar words, and are neither historical facts nor assurances of future performance and relate to future results and events, and they are based on Cengage Group's current expectations and assumptions. Because forward-looking statements relate to the future, they are subject to inherent uncertainties, risks and changes in circumstances that are difficult to predict and many of which are outside of our control. Many factors could cause our actual results and financial condition to differ materially from those indicated in the forward-looking statements. You should consider such factors, many of which are subject to the risks and uncertainties discussed in the slide presentation which accompanies this call and in the Risk Factors section of our fiscal 2023 annual report for the year ended March 31, 2023, as may be updated by our quarterly reports for fiscal 2024. The Company's fiscal 2024 annual report will be posted shortly. Any forward-looking statement made in this presentation is based on currently available information. The Company disclaims any obligation to publicly update or revise any forward-looking statements, except as required by law. On today's call and in our slide presentation, we will refer to certain non-GAAP financial measures. Definitions and the rationale for using these measures and reconciliations of each to its most directly comparable GAAP financial measure are provided in the appendix to the slide presentation. I'll now turn the call over to Michael for an update on the business, followed by Bob, who will take you through the fourth quarter and full-year details before we open the call for questions. Michael?
Michael Hansen: Good morning, everyone. Thank you for joining our fiscal year 2024 fourth quarter updates. I'm pleased to share that we delivered on our financial guidance, capping off another successful year for Cengage Group. Our track record of delivering on our financial goals is a testament to our predictable performance and provides a high level of confidence as we head into the new fiscal year. As we close fiscal 2024, I'm pleased to report that we recorded a third consecutive year of mid single-digit growth in revenues and double-digit increase in profitability. Our adjusted cash revenue grew by 5% to $1.535 billion and adjusted cash EBITDA increased 10% to $461 million. We achieved a 30% EBITDA margin, and our net leverage is now at 3x, a significant improvement over prior year's level. These results underline the power of our portfolio strategy and the result in predictable and sustainable financial performance. Our three business units, Cengage Academic, Cengage Work and Cengage Select contributed to our strong growth with two important inflection points to note. First, in Cengage Academic, our U.S. Higher Ed business returned to growth with a 3% increase in adjusted cash revenues. This growth is driven by the consistent increase in digital sales which have been growing by 6% to 7% for the past several years. As digital sales have grown significantly, print sales as a percentage of total are now negligible. In further encouraging news, recent data from the National Clearinghouse shows that undergraduate enrollment grew by 2.5% in spring 2024 year-over-year. This is the second consecutive semester of growth. Community college enrollment was up 4.7% year-over-year. These latest figures indicate a rebound in learners choosing two and four-year degree options. Of particular interest is the rise in community college enrollments, especially in vocational programs, where learners pursue education to gain employable skills. For Cengage Group, this data is further evidence that our strategy to provide education for employment, where our range of products and services continue to support the diverse needs of learners from middle school to graduate school and skills education. Second, Cengage Work grew by an impressive 19% and generated $10 million in adjusted cash EBITDA. This business unit continues to scale and expand, increasing its contribution to our overall growth. Within Cengage Select, Gale closed the year with 2% growth with a solid Q4 finish, while ELT finished the year by growing 18% over the prior year. In Q4, we also successfully closed the refinancing of our $1.6 billion term loan. This refinancing extends the maturity period for seven years and will initially save $8 million in annual interest payments with the opportunity to increase to $16 million. With this robust long-term balance sheet position, we are now able to focus on both organic and inorganic growth opportunities in several of the education markets we serve. Last quarter, I introduced our effort to reset our operating model and take an expected $90 million to $100 million out of our cost base. We have implemented plans to achieve an anticipated $60 million of the targeted savings in fiscal year 2025 with the balance expected to be achieved in fiscal year 2026. Our operating model reset was guided by three principles: One, bring together teams that do similar work; two, reduce the amount of complexity in our systems and three, leverage more automation. For example, our customer support teams, which were previously aligned to each business have now merged into Cengage Group Global Services organization. This new approach to customer support is expected to deliver significant savings in fiscal 2025. Another example is our product technology organization, which is now consolidated into one product technology and innovation organization. This consolidation allows us to leverage common resourcing models, strengthen vendor relationships and focus our resources in the most impactful areas such as artificial intelligence. We expect both faster development cycles and run rate savings. With our increased profitability, we are fueling our growth with strategic investments in our products, services and people. We have planned incremental investments in our middle school science program and in more experiential learning in U.S. Higher Ed. We are also investing in pilots in our Milady business to test direct full course delivery and in our ELT business to enhance our SPARK platform with additional features. Looking ahead, we are embedding a continuous improvement mindset across the organization. We have established a company-wide scorecard with goals aligned to our financial excellence, customer impact and employee experience. This will provide visibility and clarity to our collective goals and empower every employee to contribute to our success. In closing, I want to express my gratitude to all Cengage Group employees for their ongoing commitment to our customers, and I want to express my gratitude to our Board of Directors for their support and guidance throughout our transformation. I will now turn the call over to Bob Munro, our Chief Financial Officer, for a more detailed review of our financial results. Bob, over to you.
Bob Munro: Thank you, Michael, and good morning. Starting with the financial highlights to ring the Cengage Group results in the fourth quarter and the full fiscal year. Our portfolio of businesses delivered a strong fourth quarter and successfully closed out fiscal 2024 with good momentum going into fiscal 2025. Fourth quarter adjusted cash revenues were $413 million, up 8% on the same quarter last year. All business units contributed to the strong finish with Academic revenues up 6%, Work up 18% and Select up 9%. Academics performance was underpinned by U.S. Higher Ed where fourth quarter revenues grew 7%. This was on the back of a successful spring season with sustained healthy growth in digital and institutional revenues, complemented by favorable enrollment trends. Cengage Group's adjusted cash EBITDA for the fourth quarter was $134 million, up 19% over the prior period. With the strong close, full-year adjusted cash revenues reached $1.535 billion, up 5% and marginally ahead of the top end of our full-year guidance. All business units, that's Academic, Work and Select delivered growth in the year. Our overall performance was driven by Cengage Work and English Language Teaching which grew by 19% and 18%, respectively. U.S. Higher Ed reached what we believe to be an inflection point and return to growth underpinning the group's and Academic revenue performance. U.S. Higher Ed return to growth has been built on our successful digital strategy, which continues to be a key driver of Cengage's overall performance. Digital net sales were up 9% to $1.145 billion and now represent 75% of total sales. Adjusted cash EBITDA increased 10% to $461 million, also surpassing the top end of our full-year guidance. This represents a meaningful acceleration in profit growth and margin expansion. Our EBITDA margin increased to 30%, over 120 basis points better than fiscal 2023, whilst we have continued to invest to sustain topline growth, notably in Cengage Work and English Language Teaching. This healthy margin performance reflects the combination of high flow-through of revenue given our inherently strong unit economics and increasing benefits from our cost savings program. In our third quarter update, we shared our plan to accelerate profit growth through a cost savings program aligned to the implementation of a new operating model. Since then, we have significantly advanced the execution of plans and are firmly on track to deliver the expected incremental cost savings of between $90 million and $100 million over fiscal 2025 and fiscal 2026. In total, these targeted cost savings represent around 600 basis points of EBITDA margin expansion on a pro forma basis. We expect $60 million of the savings to be realized in fiscal 2025 with the remaining $30 million to $40 million in fiscal 2026. We have now implemented the plans and necessary actions to realize the $60 million fiscal 2025 incremental savings. With this substantial progress, we believe we are well positioned to deliver on our fiscal 2025 expectations for accelerated adjusted EBITDA growth and margin expansion, which I will come back to. With the refinancing of the term loan and the replacement of the ABL facility with a cash flow revolver in the fourth quarter, and the Apollo-led preferred equity issue in Q1, we have successfully reset the capital structure over the course of fiscal 2024. The resulting net leverage ratio of 3x, extended facility maturities and improved commercial terms provide significantly increased flexibility and runway for us to pursue our growth strategy. Turning to the full-year performance across our business segments. All business units delivered revenue growth in fiscal 2024, further underlining the strength of our portfolio. Cengage Academic adjusted cash revenues were up 2% to $922 million. Growth improved compared to the first nine months based on the strength of U.S. Higher Ed performance in the spring season. Cengage Work successfully maintained its growth momentum through the fourth quarter with full-year revenues of $126 million, up 19%. Cengage Select accelerated through the final quarter on the back of a strong finish for research and sustained high growth in English Language Teaching, to deliver full-year revenues of $460 million, up 8%. In Cengage Academic, the 2% growth in adjusted cash revenue was underpinned by U.S. Higher Education, which returned to growth with revenues up by 3% to $613 million. Net sales, which reflect gross sales less actual returns, came in at growth of 5%, 2% higher than adjusted cash revenues. We believe the adjusted cash revenue performance better reflects the underlying trajectory of the business as net sales have been impacted by delayed timing of returns of print and bundled products from key channel parts. The performance of U.S. Higher Ed and its return to growth reflects a sustained growth in stand-alone digital products which is outweighing declines in ever smaller print and bundled base. In fiscal 2024, stand-alone digital net sales as excluding bundles, reached $526 million, up 7%, whereas the combination of print and bundle sales declined by 5% to $94 million. Net sales of stand-alone digital products, excluding bundles have grown consistently at a rate of between 6% and 7% over the past several years, whilst print and bundled sales have declined at much faster rates. It is the combination of these consistent long-term trends and their impact on relative weighting in sales, that has progressively brought us to the inflection point we passed in fiscal 2024 and the return to growth. Institutional sales continue to be a key driver of digital growth. Institutional revenues being the combination of Inclusive Access and Cengage Unlimited Institutional, reached $229 million, up 26% and now comprise 37% of total U.S. Higher Ed revenues, which further improves the resilience and predictability of the business. The proven record of digital and institutional growth and positive momentum we see in our sales pipeline, underscore our expectation that U.S. Higher Ed return to growth is sustainable. Recent positive enrollment trends could provide further positive tailwinds if sustained. In International Higher Ed, full-year adjusted cash revenue was $111 million, down 9%. The most significant driver of the year-over-year decline was the Europe, Middle East and Africa region, where we took strategic pricing and channel actions to mitigate reimportation into the U.S. These actions represent a one-time rebasing of the business in those markets in fiscal 2024. In addition, revenue fell in Australia where market headwinds persist and Canada, which lags the U.S. in the transition to digital and where print declines outweighed strong digital growth. The secondary business finished the year well with fiscal 2024 adjusted cash revenues up 7% to $197 million. Revenue growth was driven by our middle and high school core programs. This speaks to the resilience of the business against a market backdrop where a number of participants have seen revenues fall sharply over the same period. Whilst we are not immune to the cycle, we believe we have reduced the inherent volatility in our business, through our strategy, focusing on middle and high school and advanced placement and career and technical education. In these segments, we believe demand is more stable and our products differentiated through leveraging the strength of our U.S. Higher Ed franchises and our exclusive educational partnership with the National Geographic Society. Consistent with this, we have continued to wind down our K5 business, which accounted for around only 5% of sales in fiscal 2024. Looking forward to fiscal 2025, we expect Cengage Academic as a whole to deliver low single-digit growth. This expectation is underpinned by sustained growth in U.S. Higher Ed where we expect to continue to build on the proven track record of strong standalone digital growth and put this digital growth to outweigh the declines in an ever smaller print and bundle base. On Cengage Work, which also finished the year well, carrying its high growth momentum through the fourth quarter and into fiscal 2025. In ed2go, full-year sales increased 23% to $84 million and continues to be driven by Advanced Career Training courses or ACT. Our ACT offerings comprise over 80% of ed2go's revenues and focus on job categories with high structural employment demand and certification requirements, with Allied Health being our largest segment and where we have a leading position. We have continued to drive growth ahead of the strong market fundamentals through proven go-to-market strategies new product initiatives and commercial innovation. These ongoing initiatives, which have significant future runway focused on extending and deepening the leading position in the academic channel and in expanding our B2B channels. At Infosec, our cybersecurity focused business, adjusted cash revenues grew 11% in fiscal 2024 to $42 million. This is a meaningful acceleration from the 7% pro forma growth in fiscal 2023. The growth reflects strong double-digit performance in security awareness software moderated by a flat year-over-year performance in bootcamps. Bootcamps revenues were held back by delays in federal budget approval, which impacted spending across our U.S. government customers which we continue to believe is a temporary effect. Cengage Work has a key inflection point in fiscal 2024, moving firmly into profitability during the year and with profit growth accelerating through the fourth quarter. Full-year adjusted cash EBITDA was $10 million. This reflects the inherent strong unit economics of our business and the moderation of the investment cycle as we come to the end of the period of high fixed investments to support sales growth and to enable the business to scale effectively. Cengage Work has great momentum going into fiscal 2025, and we expect the business to deliver strong double-digit revenue growth whilst continuing to rapidly increase its margins. In Cengage Select, English Language Teaching had an excellent year, delivering strong double-digit adjusted cash revenue growth, increasing digital penetration, and meaningfully expanding its EBITDA margin. Full-year revenues grew 18% to $164 million. All geographic regions contributed to growth, underpinned by a highly differentiated products, leveraging our exclusive long-term partnership with National Geographic Society and our new digital platform. Growth was led by U.S. K-12 with high double-digit growth and where we have established a leading position, meeting the learning needs of nonnative English language speakers. Across other regions, Asia and Latin America also delivered double-digit revenue growth. In Europe, Middle East and Africa, growth was solid with double-digit growth in core markets being moderated by a marginal year-over-year decline in the large Ministry of Education contract, which accounted for over $20 million of annual revenues. Digital net sales were up 24%, with digital users growing by 29% as we continue to successfully drive digital adoption through our new SPARK platform. Fiscal 2024 adjusted cash EBITDA in ELT was $59 million, up 45% and representing over 600 basis points of improvement in margin from improved product and market mix, increased digital penetration and effective scale. ELT goes into fiscal 2025 with strong underlying growth momentum. We do expect overall revenue growth to moderate with sustained strong underlying momentum across all core markets being dampened by expected changes in the operating model with the Ministry of Education in EMEA. Whilst the existing manufacturing and distribution arrangement will play out, Future arrangements are expected to be undertaken under content licensing arrangements. As a result of this, we expect a onetime rebasing of revenues by around $20 million without any significant impact on the profit base. Research delivered a strong final quarter as temporary timing differences, which had held back the results through the first nine months reverse. Full-year revenues reached $217 million, 2% ahead of the prior year. Performance was underpinned by marginal growth in the U.S. domestic market, where a strong 95% subscription renewal rate, combined with solid growth in new database subscriptions and archives to offset the drag of weaker e-book and print sales. Growth was otherwise driven by strong sales in Asia where we saw encouraging signs of recovering demand. Going into fiscal 2025, we expect research to build on its track record and deliver another year of low single-digit revenue growth whilst expanding its margins as benefits of cost-saving initiatives come through. In the other segment, full-year adjusted cash revenues were $80 million, up 4%. Milady had another strong year with revenues up 10%, driven by sustained digital momentum with digital sales now accounting for over 50% of annual revenues. Growth in the segment was moderated by a 5% decline in Australia K-12, where the domestic market continues to face headwinds. Turning to our cash performance. Full-year unlevered free cash flow or operating cash flow was $317 million, up $65 million against fiscal 2023. The operating cash performance represents a cash conversion rate of 69%. While significantly improved, operating cash flow was held back due to temporary timing delays in payments from certain key channel parts. Absent these short-term payment delays, the change in working capital would’ve been broadly neutral for fiscal 2024. This reflects sustainable efficiencies from an ongoing global working capital optimization program and the normalization of prior year supply chain pressures, which offset the drag from our ongoing investments in global business systems. In fiscal 2025, we expect operating cash conversion to sustain a strong upward trajectory. This reflects the inherently strong cash dynamics of the business together with incremental benefits from the continuing working capital program, the reversal of the temporary channel partner timing differences and a reducing drag from new business systems as we come out of the peak investment period. At the end of fiscal 2024, Cengage held $848 million of U.S. federal and over $1.25 billion of state net operating losses. Cengage has been generating U.S. taxable income since fiscal 2023 and is utilizing these losses which are expected to shield Cengage from significant increases in U.S. tax payments over the medium term. As covered earlier, we have significantly advanced the execution of our cost savings program over the fourth quarter and into the first quarter of this year. We expect total one-time implementation costs of around $80 million, which are largely cash costs. Of this, we incurred profit and loss charges of $59 million in fiscal 2024 and paid out $33 million in fiscal 2024, which is included in other non-operating items in the cash flow statement. We expect the balance of cost and cash payments to be incurred in fiscal 2025. Under the terms of the preferred equity issue, the company can elect to meet dividend obligations payable quarterly in arrears at a rate of 10% per annum in cash or payment in kind. After paying the $6 million dividend in relation to the June 2023 partial period in cash, the company elected to pay in kind the approximately $13 million quarterly dividend in each of the last three quarters, including March 2024. Future dividend payments will continue to be assessed in the context of our strategy and liquidity requirements. Our current expectation is that we will move to cash payment going forward given the strength of our liquidity position summarized on the next page. Over fiscal 2024, we have successfully refinanced the entire capital structure. The $530 million Apollo-led preferred equity issue in the first quarter of this year enabled a step change improvement in Cengage's capital structure and leverage on top of the steady progress over the past several years through property growth and cash generation. As a result, net leverage at the end of fiscal 2024 decreased to 3x on an adjusted cash EBITDA basis, 1.5x lower than a year ago on that same basis. Approximately $500 million of proceeds from the preferred equity issue and $32 million of excess cash was deployed to fully redeemed senior notes, which was completed in October. In the fourth quarter, we completed the refinancing of the $1.6 billion term loan, extending maturity to 2031, a seven-year term, whilst also tightening the interest spread by 50 basis points. This represents cash interest savings of $8 million annually. The new term loan provides for further reductions in spread of up to 50 basis points in two increments of 25 basis points each. This is tied to reductions in net leverage which we expect to meet in the next 12 to 24 months. In parallel with the term loan refinancing, we replaced our asset-backed line of credit with a five-year, $200 million revolving credit facility, providing meaningfully increased liquidity across our annual cycle. The business ended the year in a strong liquidity position. Ending cash was $265 million, with total liquidity of $453 million, boosted by the increased availability under the new revolving credit facility. The new capital structure provides greater financial flexibility and a long runway to support the execution of our strategy in driving future growth. Turning to the outlook. Our portfolio of businesses moved into fiscal 2025 with strong growth momentum. In closing, fiscal 2024, we have delivered a third consecutive year of solid revenue growth with accelerating profit growth and margin expansion. Our business is growing sustainably, is predictable and highly profitable. We are a scaled digital business with 75% of sales now digital. Through our digital and education for employment strategies, we reached two important inflection points. Our U.S. Higher Education business has returned to growth and our Cengage Work business is now contributing meaningfully to profits with rapidly expanding margins as the business scales. Additionally, we have made significant strides in the execution of our cost savings program, and we are firmly on track to deliver the expected incremental savings of $90 million to $100 million over the next two years. With this momentum, we believe we are well positioned for Cengage Group to deliver another year of robust topline growth underpinned by the proven go-to-market strategies and execution capabilities, which have driven our sustained growth over the last three years. With our inherent strong unit economics, and the $60 million of incremental cost savings from the new Cengage operating model, we expect to meaningfully accelerate EBITDA growth and margin expansion. The combination of expected strong EBITDA growth and further working capital efficiencies is expected to improve operating cash conversion and cash generation. In summary, we are extremely excited about the future and continuing to work with our sponsor group to drive the future growth of this business and value for our customers and shareholders. I will now pass back to the operator for questions.
Operator: At this time, we will be conducting a question-and-answer session. [Operator Instructions] Your first question for today is from Nick Dempsey with Barclays.
Nick Dempsey: Yes. Good morning guys. I have two questions. So first of all, can you give us any update on the negotiated rulemaking from the Department of Education related to inclusive access opt in or opt out? Where you think we are with that and when that might have an impact? And the second question, in the spring adoption period, do you believe that you've been gaining or losing any share to your competitors?
Michael Hansen: Yes. Nick, it's Michael. Good morning. Good to hear your voice. Happy to tackle both. So on the negotiated rulemaking, as you know, probably know that the process is still in full swing, and it is hard to predict the exact outcome. But if there is any impact on our business, it will not be, and that's a certainty before the fall of next year, i.e., calendar year 2025, given the process that the department will have to go through. We continue to provide input to institutions, which are fully aligned with us that it would be not a good idea to and not benefiting students and/or institutions if the rules would go into effect. That said, we believe that the impact on our business going forward is fairly minimal even if the department decides. But there's obviously a lot of variables, including an election in the United States and potential impact of that. So that's the first question. And then the second question, you followed the space quite well. There is no definitive source of adoption share in the market. But based on triangulating a lot of different sources, we believe that we help to marginally improve share in the overall market.
Nick Dempsey: Thanks, Michael.
Michael Hansen: Thank you.
Operator: Thank you. Your next question is from Sam Martini with OCO.
Samuel Martini: Thank you, guys. And Bob, I just wanted to try to audit the cash generation. There's a lot of moving pieces, and obviously, it's going up quite a bit. And I'm just trying to clarify a couple of the moves on the line item. So I'd appreciate just some patience and guidance with this. So we talk about accelerating EBITDA growth. So let's just say we go from 10% to 12%, let's say – and that would put us with adjusted EBITDA of something around $510 million, $515 million next year. If we keep prepub flat, did I – I'm trying to track the working capital and the interest changes and then obviously the cost investments for next year. So you said working capital should have been close to neutral this year instead of the negative 30 drag is something between those two of neutral and 30 okay for next year, say, a drag of 15?
Bob Munro: Yes. So let's – hey, Sam. Good to hear you. So in working capital, there are three things going on. The first is the working capital optimization program, which actually Richard is very ably leading. And to frame that for you without getting too specific, we expect over sort of $50 million of structural benefits coming through working capital over this year and next year. So that’s number one…
Samuel Martini: Is it linear? Or is it front-loaded if we just say 25 a piece? Is that....
Bob Munro: I think about it in broad terms 50-50. I think that's fair.
Samuel Martini: Okay fine. That's good enough I mean we're looking for – good enough for government work is fine. So yes…
Bob Munro: Yes. The second thing is – which is a temporary impact between this year and next year, is what's happening. I referred to this year's performance, where we converted 69% of adjusted cash EBITDA into operating cash being held back by temporary delays in payments from certain key channel partners. So we expect that to normalize. So that will be – that's been a drag this year and that's over $20 million of drag. So think about that's the 5% drag on this year. So we get that benefit next year as it normalizes. And then the third year, the third thing going on in working capital is the investments we have been making in global business systems. And those are also expected to moderate next year as we're substantially through that program. So you've got three things working in favor. So I would expect working capital next year to be neutral or better in…
Samuel Martini: Okay, neutral or better is fine. And let's just hold CapEx kind of flattish. We could call it $40 million. We know the loan interest is sort of $155 million, $160 million – and you said that your intention as of right now, subject to consideration each quarter is to pay the Apollo pref in cash. Is that correct?
Bob Munro: That is our current expectation, sort of subject to our normal sort of ongoing assessment processes with the Board.
Samuel Martini: Okay. And then anything else in that sort of $51 million of leases investing, financing. I'm trying to figure out where the $64 million....
Bob Munro: Sure, sure. So the other piece, which is important, which I covered in the prepared remarks, is we still are holding to $80 million of that onetime costs associated with our cost-saving program. And of that, we expect that to be predominantly all cash. Of that $80 million, the $51 million that you see in this year's cash flow includes $33 million. So the balance, $47 million, we would expect to largely be paid in cash in fiscal 2025.
Samuel Martini: Right. So the punchline is that this levered free cash number should have a sort of glide path to something in the high 100s for next year, even assuming that $47 million of remaining onetime investment in the business, is that sort of – does that – but we reversed the working capital.
Bob Munro: Without commenting on your math, I think we've gone through all the pieces. And certainly, we expect, as I said, meaningful improvement in operating cash conversion for the reasons we've said. And then interest peak dividends onetime cost we've covered. So the impact of all of those is, I think, stronger with trajectory in the cash performance of the business.
Samuel Martini: Great. And then a housekeeping. Did you say $850 million federal NOL and $1.1 billion state? Did I get that right?
Bob Munro: $848 million federal and $1.25 billion.
Samuel Martini: 1.25, sorry. Yes. Okay. Great. Thank you guys very much. I appreciate it, Bob. Thanks, again.
Bob Munro: Yes. Thanks for the questions. Good to clarify there's a lot going on.
Operator: Your next question is a follow-up question from Nick Dempsey. Nick, your line is live.
Nick Dempsey: Yes. Just one more, guys. I've been reading about the enrollment cliff as birth rates fell in, in 2008, in particular that thereafter, is there something that should start to about your numbers as a 425 – or is it beyond that, that we need to worry about our potential drag on the enrollment growth?
Michael Hansen: Yes. Nick, it's Michael again. I've been discussing this with various Presidents and Chief Academic and enrollment officers around the country. It's really interesting it's being continued to be pushed as sort of a potential threat, nobody is seeing it right now. And I think the reason that nobody is seeing it is that the underlying demographics of Higher Ed students has changed so dramatically. If you think about two-year and four-year colleges, your traditional 18 to 22-year old student is no longer the single overwhelming driving force of this. And this is where the demographic cliff has been focused on. We're seeing a lot more people at very different age brackets in the 30s, 40s going back to community colleges, taking courses. We're seeing dual enrollment picking up. So I think the drivers of enrollment have diversified significantly. And as a result, we don't see the demographic cliff really looming despite the math that was done originally.
Nick Dempsey: That’s helpful. Thanks.
Operator: We have reached the end of the question-and-answer session, and I will now turn the call over to Michael for closing remarks.
Michael Hansen: Yes. Thank you, everybody, for attending. We're obviously proud and we're proud of the entire Cengage Group team, of the performance that we have delivered. But we are, rest assured, not sitting on our laurels and resting on them, but rather looking forward to a strong performance in fiscal year 2025 that has been off to a good start. So we are looking forward to updating you on this next quarter. Thanks, everybody, and have a great day.
Bob Munro: Thank you.
Operator: This concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation.